Operator: Good afternoon. Thank you for attending today’s Momentive Global Second Quarter 2022 Earnings Call. My name is Amber, and I will be your moderator for today’s call. All lines will be muted during the presentation portion of the call with an opportunity for questions-and-answers at the end. [Operator Instructions] It is now my pleasure to hand the conference over to our host, Gary Fuges, Vice President of Investor Relations with Momentive Global. Gary, please proceed.
Gary Fuges: Thank you. Good afternoon, and welcome to Momentive Global’s second quarter 2022 earnings call. Joining me on today’s call is Zander Lurie, CEO; Priyanka Carr, COO; and Justin Coulombe, CFO. After Zander and Justin’s prepared remarks, the team will take your questions. Prior to this call, we issued a press release with our Q2 2022 financial results as well as management’s prepared remarks for today’s call. These items are posted on our Investor Relations website at investor.momentive.ai. During the course of this call, management will make forward-looking statements, which are subject to various risks and uncertainties, including statements related to our strategy, investments, revenue, operating margin, unlevered free cash flow margin and cash flow. Actual results may differ materially from the results predicted, and reported results should not be considered an indication of future performance. A discussion of the risks and uncertainties related to our business is contained in our filings with the Securities and Exchange Commission, in particular, in the section entitled Risk Factors in our quarterly and annual reports, and we refer you to these filings. Our discussion today will include non-GAAP financial measures unless otherwise stated. These non-GAAP measures should be considered in addition to and not a substitute for or in isolation from our GAAP results. A reconciliation of GAAP to non-GAAP results may be found in our earnings release, which is furnished with our 8-K filed today with the SEC and may also be found on our Investor Relations website. Finally, today’s call will reference Rule 40 financial performance, which the company defines as a combination of year-over-year revenue growth and unlevered free cash flow margin. The company will discuss its target operating model in Rule 40 on its August 5 Virtual Investor Day for more information or to register for the event, please visit our Investor Relations website. With that, I’ll now turn the call over to Zander.
Zander Lurie: Thank you, Gary, and thank you all for joining us. We’re halfway through a year characterized by increasing macroeconomic headwinds: high inflation; currency volatility; and softer demand signals in late June. We cannot control the macro environment. At Momentive, we are pursuing several long-term initiatives to expand our market opportunity, increase our value proposition for customers, and drive more operating leverage. While transformations are more challenging in a recessionary environment, I have a lot of confidence we are creating long-term shareholder value. Q2 revenue landed within our guidance range. Sales-assisted customer growth was strong. Our new expansion motion had a record quarter. And we hit the high end of our Q2 non-GAAP operating margin guidance range. We intend to drive more operating leverage in the quarters to come. As illustrated in our full year 2022 guidance, we expect to hit low to mid-double digit operating margin in Q4. If you tune into our Investor Day tomorrow, you’ll hear us lay out a very achievable path to Rule of 40+ financial performance, characterized by durable growth in both of our go-to-market channels and significant operating leverage. We have conviction in our plan as evidenced by $68 million in share repurchases from the end of February through June and we look forward to sharing more tomorrow about our product and go-to-market strategies that we believe will help us reach our financial targets. Now, a bit more on our Q2 results. In Q2, sales-assisted revenue increased 30% year-over-year, our fifth consecutive quarter of 30%+ growth, surpassing $175 million in run rate revenue. The bright spots in the quarter were traction of our expansion motion and the continued performance of our efficient high-velocity motion both driving more profitable growth. We ended the quarter with approximately 15,700 customers, up 67% year-over-year. We added approximately 2,000 new customers quarter-to-quarter, including Jefferies, SecurID, Sodexo Pass France, Tufts Medical, and Volkswagen Group of America. The high velocity team we established in early 2021 is driving strong overall logo growth. This is a highly efficient, profitable sales motion with a focus on capturing new customer relationships early to facilitate account growth as we deliver value over time. With our sales-assisted revenue base at scale, we are focused on growing customers within our existing base of 345,000+ organizations. We ended the quarter with more than 2,200 customers spending more than $25,000 annually with us. And we now have approximately 900 customers using more than one of our products. Did we experience an impact in sales-assisted bookings from macro headwinds? We did, particularly in new sales and this became evident late in June. The impact was largest in our insights solutions product line what we previously called market research. As a reminder, our insights solutions target four primary buyers: investors, marketing professionals, product leaders, and researchers. Financial services firms and marketing professionals began pulling back on spend in late June, most citing budget reductions. As we’ve discussed on prior calls, insights solutions revenue recognition is still largely project-based, so its impact on our top line is more immediate compared to our subscription-based products. But we’re confident this is a macro-related headwind; the value we deliver to our customers is evident in our numbers. Retention and renewal metrics remain healthy, particularly for customers with multi-seat products, and our expansion motion is building momentum. In our self-serve channel, year-over-year revenue growth of 1% was in-line with our expectations. About 36% of our total self-serve revenue is outside of the United States. In our Q1 call, we shared our diagnosis of the main issue in self-serve, a weaker top-of-funnel and we outlined the steps we’re taking to reinvigorate growth on the web. Specifically, generating high-quality user traffic through new content and search engine optimization strategies, focused brand initiatives, and competitive search engine marketing investments to reinvigorate SurveyMonkey traffic. Secondly, calibrating our packaging and adding new features like translation imports to maintain conversion and average order value, or AOV. And thirdly, reducing customer friction by simplifying the buying and onboarding process. We’re executing on all initiatives as planned. We created and tested a renewed branding campaign, which will roll out fully in Q3, timed with the bounce back from our seasonal summer lull. We published more than 70 pieces of new SEO content, which is already contributing to health in the channel. We used competitive bidding in SEM to bring down our CPCs. We operationalized several winning experiments that are supporting our healthy conversion, AOV, and engagement metrics. As noted, these top-of-funnel initiatives will take time to impact revenue. But our leading indicators are showing early positive signals in North America, the geography with our strongest conversion rate while retention, AOV, and conversion metrics remain in a healthy range. At the same time, we are facing persistent and worsening macroeconomic headwinds outside of North America, which are challenging to the top-of-funnel. Similar to North America, retention and conversion metrics are also in a healthy range. As we think through the second half of the year, we’re adjusting our revenue outlook to reflect increasing macro and FX headwinds, especially as it relates to new business across both go-to-market channels. However, we are maintaining our 6% to 7% non-GAAP operating margin guidance for the year, which implies low to mid-double digit margin in Q4 and believe we can drive meaningful operating leverage to reach Rule of 40 financial performance. The market is there, our products and teams are in place, and we’re at scale to drive more profitable growth. Before I turn the call over to Justin, I want to discuss the Board and management changes we also announced today. First, I’d like to welcome former GoDaddy President and Microsoft alum Lauren Antonoff to our Board of Directors. I’m confident Lauren will add value out of the gate; given her industry experience and product development background. Her expertise will be particularly valuable during this business model transformation. I also want to thank Serena Williams, who’s been with us since 2017. The entire Board and I appreciate Serena’s contributions over the past five years and wish her continued success in her many endeavors. Secondly, we’re making changes to our go-to-market leadership. Ken Ewell, who joined us as Chief Customer Officer in December of 2020, will now oversee the entire sales-assisted go-to-market strategy, from new sales to renewals, support, and expansion. Given our increased focus on growth through expansion within our existing base, we think the time is right to consolidate our sales-assisted motions under one leader. John Schoenstein, who joined us in 2017 to lead our sales organization, is stepping down. We thank John for helping us move upmarket over the last five years. He will stay on through the end of the quarter to ensure a smooth transition. Third, we announced that Justin Coulombe will be moving on, effective September 30. Justin leaves us after having put the finance machinery in place to support our future success. He strengthened the Finance organization, hired a strong Chief Accounting Officer, and partnered with the Board and executive team to build the plan and processes that tie to the operating model targets we’ll share with you tomorrow. We’re putting our CFO search on the fasttrack while Justin remains in his role through the end of Q3, and the Board and I wish him future success. As we’ll discuss tomorrow, the pace of change continues to accelerate, and there’s a clear need for our powerful, accessible solutions that help business decision-makers succeed when the stakes are high. We believe we are on the path to Rule of 40 financial performance through more profitable growth, driven by expansion within our existing customer base of 345,000-plus organizations. We look forward to sharing more with you on that tomorrow. I’ll now turn the call over to Justin, who will review our Q2 financial results and outlook.
Justin Coulombe: Thanks, Zander. Before I review our financial performance, I’d like to thank the Momentive team, Board, and investor community. And I’d like to thank Zander for his partnership and leadership. The past three years at Momentive have been an exceptional experience and deciding to move on was not an easy decision. I believe we have the assets, business model, and leadership team in place to drive profitable growth and reach Rule of 40+. I look forward to partnering with our leadership team through the end of Q3 to ensure a seamless transition. I’ll now review our Q2 results and then discuss our outlook. Unless otherwise noted, all comparisons are year-over-year. In Q2, total revenue was $120.2 million, an increase of 10% and within our previously issued guidance range. Headwinds from foreign exchange rates were approximately 1%. Revenue from our sales-assisted channel increased 30%, surpassing $175 million run rate revenue, and accounted for 37% of total revenue, compared to 31% in the year ago period. We added approximately 2,000 customers and now have 15,700 customers with a sales-assisted relationship. New sales were strong in April and May before running into macro challenges in June. And expansion continued building on the momentum we saw in Q1. Productivity per ramped sales rep continued to improve year-over-year. Further, approximately 75% of last 12 months bookings were from customers with at least one multi-seat product, such as Teams or a Sales-Assisted package. The dollar-based net retention rate of this customer cohort was 110% in Q2. The investment we’ve made to pursue expansion within our massive 345,000+ organizational domain customer base is working, and we’ll provide additional detail on our path forward at tomorrow’s Investor Day. Revenue from our self-serve channel grew 1% in Q2. Revenue growth reflects the dynamics described previously. Deferred revenue increased 11% to approximately $219 million. And remaining performance obligations, or RPO, which is the sum of deferred revenue and backlog, rose 13% to $250 million, partially driven by continued traction winning larger, multi-year customer commitments. As we’ve shared in the past, we signed our largest customer to a multi-year deal in Q2 of 2021. Now that we’ve lapped this milestone, we anticipate RPO growth will track closer to deferred revenue growth over time. Turning to profitability. Non-GAAP gross margin was 83%, improving by approximately 30 basis points from the year-ago period. Non-GAAP operating margin expanded to 2.8% compared to 1.3% in Q2 2021, driven by rigorous expense management specifically with respect to hiring. On a percentage of revenue basis, all functional operating expense lines improved year-over-year, demonstrating the leverage of our business model. In Q2, we recognized $3.3 million in one-time restructuring benefit, which represents the net effect of exiting a portion of our San Mateo, California office space, and continuing to re-align our organizational structure to align with our strategy. Net cash provided by operating activities was $3.7 million and free cash flow was $1.3 million. As part of our previously announced $200 million share repurchase program, in Q2 we repurchased $32 million of Momentive stock, representing approximately 2.6 million shares at an average price of $12.51 per share. We ended the quarter with $209 million in cash and equivalents on the balance sheet. Turning to our outlook. Today, we’re providing full year and Q3 2022 guidance. For Q3, we expect revenue to be in the range of approximately $119.5 million to $122.5 million. We expect non-GAAP operating margin to be in the range of approximately 5% to 7% as we begin to demonstrate further operating leverage. For the full year 2022, we expect revenue in the range of approximately $479 million to $485 million, which reflects the impact of demand environment changes we began to see in late June and increasingly unfavorable foreign exchange rate headwinds. As we’ve noted in the past, revenue from our insights solutions formerly known as market research is recognized on a consumption basis as projects are completed, impacting quarter-to-quarter revenue growth trends. As Zander referenced, we’re seeing transitory softness in new insights solutions deals several of the buyers we target are heavily impacted by the current macroeconomic headwinds. And we’re seeing usage of existing insights solutions credits slowdown as projects are delayed. Both dynamics will impact revenue significantly in Q3 and Q4 and are reflected in our outlook. Further, we’re seeing the same foreign exchange pressure that other companies have noted recently. We’ve updated our foreign exchange assumptions for the year, which generates a headwind in the low-single digit million-dollar range in full year 2022 revenue compared to our prior guidance. We expect the sales-assisted channel’s year-over-year revenue growth rate will be in the high-20s for 2022. Self-serve channel revenue will be roughly flat year-over-year. We continue to expect full year 2022 non-GAAP operating margin of 6% to 7%, which assumes a consistent gross margin profile and operating leverage acceleration in Q3 and Q4. We expect to exit 2022 with operating margin in the low to mid-double digits. And while we are not providing full 2023 guidance today, we are sharing that we expect to drive at least 5 points of Non-GAAP operating margin leverage in 2023 versus our operating margin guidance for 2022. We expect full year 2022 free cash flow in the range of $1 million to $7 million, which reflects the top line bookings headwinds noted above. As a reminder, our free cash flow includes the impact of approximately $29 million in one-time transaction-related and restructuring expenses a portion of which were accrued as expenses in 2021 but will result in cash outflows in 2022. Excluding the $29 million in one-time transaction-related and restructuring expenses, we would expect full year 2022 free cash flow in the range of $30 million to $36 million. Wrapping things up, we’re proud of the progress we made in Q2. The remainder of 2022 will build on the same operating discipline and lay the foundation for durable and profitable growth, coupled with expanding margins. As always, we remain focused on and committed to driving value for shareholders. We look forward to updating you further at tomorrow’s Investor Day, where we’ll outline our operating model targets, including our path to low to mid-20%s non-GAAP operating margin, mid to high-20%s unlevered free cash flow margin, and Rule of 40+. Thank you. We’ll now take your questions.
Operator: Thank you. We’ll now begin the Q&A session. [Operator Instructions] Our first question comes from Parker Lane with Stifel. Parker, your line is now open.
Matthew Kikkert: This is Matthew Kikkert on for Parker. Thanks a lot for taking my questions. And Justin, I want to wish you all the best going forward. First off, I’m curious how you would expect retention rates to trend in a potential recessionary environment going forward? And how would those compare for sales-assisted channels versus your self-service channels.
Zander Lurie: Hey Matthew, thanks for the question. This is an area we’ve evaluated over the last couple of years, starting with COVID when folks saw weakness in certain channels. On the self-serve channel, we have not seen any degradation in our renewal rates. And so we’re quite pleased with the value that our product is delivering existing customers, 900,000-plus individual customers and on teams that are seeing value in the product, and we’re not seeing any degradation amidst the macroeconomic headwinds on new business. On sales, we’re always monitoring very closely. The brightest shining light at Momentive right now is in our expansion and customer success arena. So we’re seeing healthy rates of renewals. We’re seeing healthy rates of expansion. And while we have some challenges on certain new parts, as Justin mentioned, there’s weakness in the Finserve community. We also believe we are a viable challenger to higher-priced often slower moving services. And so while some of our business may soften if macroeconomic headwinds persist, we’re also going to be well-positioned to challenge for other business that turns out of more expensive providers.
Matthew Kikkert: Okay. Thanks for the color there. And then secondly, on the past calls, you’ve talked a lot about focusing on margin expansion and Rule of 40 targets but also growing your sales-assisted channel quickly. So how are you thinking about balancing both of those goals at the same time?
Zander Lurie: That’s the job, Matthew. We are in fact driving operating leverage quite successfully. So you can see implied in our Q4 guidance, low to mid-teens operating leverage there, and that will increase at least 5 points in 2023. We’re not giving guidance yet for full 2023, but we are driving operating leverage in the business every day. Meanwhile, we continue to invest and grow that sales-assisted business. And so for the first few years, obviously, this was an area that was not generating cash, we are going to be continuing to focus to make that channel more profitable. I want to thank John Schoenstein who’s been five years here. That business grew from nothing to $175 million run rate today. And you can see that a lot of the incremental leverage in our business is, in fact, coming through that sales-assisted channel. So as our renewal business strengthens as that cross-sell and upsell business grows, those are obviously higher incremental profitability deals. And we are both investing in that sales-assisted channel and driving operating leverage throughout the company.
Matthew Kikkert: Okay. Thank you.
Zander Lurie: Thank you.
Operator: Thank you. [Operator Instructions] Our next question comes from Nick Mattiacci with Craig-Hallum. Nick, your line is now open.
Nick Mattiacci: This is Nick on for Chad Bennett. Thanks for taking our questions. So with the sales-assisted new logos growing materially in the past 12 months, how should we think about how much of that is coming from conversion of self-service customers. And I believe in the past, you’ve talked about kind of like a 4x uplift of these converted customers. Just kind of where is your confidence that you can sustain this level of uplift going forward?
Zander Lurie: Yes. Thanks for the question, Nick. This has been a tried and few model since we went public in 2018. When we went public, we talked about the 4x revenue uplift we get from converting a basket or footprint of self-serve paid subs into a sales-assisted motion. That statistic remains true today. In fact, the LTV of sales-assisted customers that come from self-service over 2x. So we have converted thousands of self-serve customers that come from an organization into sales assistant customers. And while doing that, we are also expanding existing self-serve or sales-assisted customers. So as we mentioned on the call, today, we have over 2,200 customers that are 25,000 and up, and our overall footprint of 16,000 sales-assisted customers is up some 60%-plus year-over-year. So we continue to see health in new sales, specifically in converting self-serve teams and customers into sales-assisted customers. Continue to see help in converting single-product sales customers into multi-product that’s now over 900 customers continue to see health in driving that 25,000 and up metric, which is critical to us. And overall, that net nets out to 110% net revenue retention for our multi-seat customers, which is over 75% of our bookings. So there continues to be good health. There are pockets of weakness in new for sure. There are functions and industries in geos that are experiencing more pressure and it’s our job just to make sure that we allocate our sales teams and marketing time after going after the healthier sectors that are competing today.
Nick Mattiacci: Got it. And then just following up on the comments about healthy retention rates in the self-service business. I believe the guidance implies that self-serve revenues will be down in the second half both year-over-year and from the first half. Can you just help me reconcile the comments with kind of the down self-serve revenue?
Zander Lurie: So it’s critical to remember how we generate revenue in our self-serve channel. We attract users to our website via direct traffic via SEO, via search engine marketing off of our end page. The vast majority of folks who come to SurveyMonkey, send a survey, try the product and then we’ll convert into paying customers when we do a great job for them. After they convert into paying customers, it’s our job to renew them or to upsell them on to a team package. Our renewal motion is healthy. And when you sit in my chair and you have over 900,000 paying subscribers, our number one job, and I’m speaking to all of our employees today is to hug your customers and make sure they’re getting great value from our products. We are doing that. Where we have weakness is on top of funnel. We diagnosed that we talked about it on our Q1 call, and we deployed a handful of initiatives that Priyanka Carr spoke about in prior comments and is leading the charge. We are seeing health in certain leading indicators, particularly in North America, in Canada and UK that tend to be our highest AOB markets. We have not yet seen meaningful conversion into bookings and revenue. That is our – obviously, our top effort right now is to reinvigorate health at surveymonkey.com for new business, but our renewal business is healthy. Our products have product market fit and are delivering value to our customers every day.
Nick Mattiacci: Thanks for taking the questions.
Operator: Thank you. Our next question comes from Robert Coolbrith with Wells Fargo. Robert, your line is now open.
Robert Coolbrith: Great. Thank you for taking our questions. Sorry, I’ve been hopping around a little bit today. But on the self-serve, just want maybe to provide, but any update on the product and packaging on the self-serve side. And then with respect to the insight weakness that you referenced on the sales-assisted side in the letter, I believe. Just wondering if you could talk about the pressure on budget and how that maybe creates a competitive opportunity, do you place more investment against sort of competitive displacement against offline market research products in this environment or is there any general comments on that sort of opportunity given the pressure on budgets that you’re referencing here.
Zander Lurie: Sure. Robert, I’ll take the sales question first, and then I’ll hand it over to Priyanka to address some of the self-serve initiatives that we’re deploying. On the sales-assisted side, as you mentioned now, we have critical mass of over 16,000 customers. We are also looking at our base of self-serve users where we have over 345,000. That is the primary pond where we are fishing in for new customers. And so our marketing teams, our data teams, we’re synthesizing a whole bunch of signals and using machine learning and AI and the feedback we get in our products to be targeting future sales customers in that base. Market Research, in particular is an awesome product of this company. We have incredible conversion. When our teams get in front of customers, they love the product. They just heard about a big retailer in Europe today who is opting for our package here over a very well-known higher-end price points. And so we do look at that as a competitive opportunity to displace some of the services companies, Qualtrics and others that have higher price points and are often much lower to deliver value. So speed and price are competitive differentiators for our market research suite. And really, as I mentioned before, we just need to make sure that we allocate our resources and marketing dollars and time of our account executives against the healthiest industries because there are industries and there are geos that are facing big macro headwinds and they convert into budget constraints. I’ll turn it over to Pri to talk a little bit about what we’re doing on the brand SEO, SEM front.
Priyanka Carr: Yes. Thanks for the question on self-service. So I’d like to think of self-service as multiple parts of the funnel as we’ve talked about. The top of the funnel, which is how we attract more customers to come to our website to learn about our products, that is our primary focus area at this point in time. It doesn’t mean we’re branding efforts further down in the funnel, which is our pricing and conversion ones, you’ll see activity around that. But our focus really is on durable user growth, as we’ve mentioned in prior calls. And we’re doing the durable user growth, as we’ve discussed to multiple levers. Having a brand that is relevant to you and available when you’re considering making a purchase and comes right to the top of your mind. We’ve been testing brand campaigns, and we will launch them fully in Q3 to really drive that top of funnel brand awareness. Second is our organic sources of traffic coming back to our website. These are SEO-related. We slowed down on our content production last year. We picked up tremendously on our content production in the last quarter, publishing over so many pieces of content, and we already see the impact of that, especially in North America, where a lot of that content is focused. Third is on the SEM side. This is our clicks that we pay for against our competitors who bid on the same keywords. We’ve been bidding far more competitively driving down our CPC is some of the lowest levels that we have seen and getting our mind share back. All of these initiatives will take time. We have a conversion window. It takes time for someone to learn about us and then eventually become a pay user and it takes time for these initiatives to pay, the leading indicators in the markets that we’ve been focused on have been growing positively consistently in the last several months as we’ve been taking them on. So we know it’s the right strategy to take on as we get more durable users into our system and attack them with a healthy conversion and AOVs that we’ve already established.
Robert Coolbrith: Got it. Thank you very much.
Operator: Thank you. [Operator Instructions] As there are no further questions in queue, I will now pass the conference over to Zander Lurie, CEO of Momentive Global.
Zander Lurie: Thank you, Amber. Thanks for your questions, and thanks for tuning in. Somewhat of a challenging quarter, but I see some real bright spots. We will continue to focus on expansion and delivering more value to our growing existing customer base. That sales motion, that renewal motion and upsell motion is a huge growth driver in our path towards Rule of 40. On the self-serve business, Pri talked a bit about the top of funnel needs for us to continue to grow traffic grow our user base where we have healthy conversion and renewals. And then we are going to do this much more profitably. You can see in our Q3 guide as well as our Q4 guidance on profitability, that’s going to translate into double-digit margins in 2023. So I encourage everybody to tune into our virtual Investor Day tomorrow. You’ll hear more from Pri as well as from our Chief Customer Officer, Ken Ewell; and Justin and I will discuss how that product strategy and our go-to-market motions will help us achieve Rule of 40 over the next few years. I want to wish everybody good health. Have a good evening. We’ll see you tomorrow.
Operator: That concludes today’s Momentive Global second quarter 2022 earnings call. Thank you for your participation. You may now disconnect your lines. Goodbye.